Operator: Thank you for standing by. My name is Eric, and I will be your conference operator today. At this time, I would like to welcome everyone to the Q3 2025 Knowles Corporation Earnings Conference Call. [Operator Instructions] I would now like to turn the call over to Sarah Cook. Please go ahead.
Sarah Cook: Thank you, and welcome to our third quarter 2025 earnings call. I'm Sarah Cook, Vice President of Investor Relations. And presenting with me today are Jeffrey Niew, our President and CEO; and John Anderson, our Senior Vice President and CFO. Our call today will include remarks about future expectations, plans and prospects for Knowles, which constitute forward-looking statements for purposes of the safe harbor provisions under applicable federal securities laws. Forward-looking statements in this call will include comments about demand for company products, anticipated trends in company sales, expenses and profits and involve a number of risks and uncertainties that could cause actual results to differ materially from current expectations. The company urges investors to review the risks and uncertainties in the company's SEC filings included, but not limited to, the annual report on Form 10-K for the fiscal year ended December 31, 2024, periodic reports filed from time to time with the SEC and the risks and uncertainties identified in today's earnings release. All forward-looking statements are made as of the date of this call, and Knowles disclaims any duty to update such statements, except as required by law. In addition, pursuant to Reg G, any non-GAAP financial measures referenced during today's conference call can be found in our press release posted on our website at knowles.com and in our current report on Form 8-K filed today with the SEC. This will include a reconciliation to the most directly comparable GAAP measure. All financial references on this call will be on a non-GAAP continuing operations basis with the exception of cash from operations or unless otherwise indicated. We've made selected financial information available in webcast slides, which can be found in the Investor Relations section of our website. With that, let me turn the call over to Jeff, who will provide details on our results. Jeff?
Jeffrey Niew: Thanks, Sarah, and thanks to all of you for joining us today. As we continue to execute our strategy of leveraging our unique technologies to design custom engineered solutions and then deliver them at scale for customers and markets that value our solutions, we achieved strong results in the third quarter of 2025. Revenue was $153 million, up 7% year-over-year. EPS of $0.33, up 22% year-over-year, and cash from operations was $29 million, all of which were above the midpoint of our guided range. I believe our results continue to demonstrate that our focus on the markets and products where we have significant competitive advantage is paying dividends and positions us well for future growth. Now turning to the segment results. In Q3, Medtech & Specialty Audio revenue was $65 million, up 2% year-over-year. Our continued operational excellence, sustained success of new product adoption and cutting-edge technology is evidenced with our strong gross margins. I expect that Medtech & Specialty Audio will have revenue growth within the range of 2% to 4% over the year in 2025, and we are optimistic about our future growth opportunities we detailed at our Investor Day. In the Precision Devices segment, Q3 revenue was $88 million, up 12% year-over-year. We saw revenue growth across all our end markets: medtech, defense, industrial, and EV and energy. Our strong intimacy with our customers' applications has led to accelerating design wins. Coupled with robust secular trends in our end markets, I am confident in our ability to continue to grow revenue in the fourth quarter and beyond. While we are seeing growth across all our end markets, I would like to highlight the defense market as it was particularly strong with design wins and bookings outpacing other end markets. Our capacitors and RF microwave solutions serve a wide variety of military applications. We have a compelling product offering of RF filters being used in next generation of defense systems serving a broad base of applications from radar, detection and jamming to ground communications, ensuring reliable and secure military communications. Our capacitors provide the electrical energy source needed for extremely harsh applications like munitions and detonation devices. Defense spending is increasing and shifting towards spending on electronic warfare where our products are in high demand. In Q3, bookings in the PD segment remained strong, particularly in defense and with our distribution partners. We continue to believe that channel inventories are now at normalized levels as they are now matching orders to end market demand. We continue to collaborate with our customers leading to a robust pipeline of new design wins as our customers continue to choose our innovative and differentiated solutions across all the markets we serve. We are positioned well for organic growth, and I expect the Precision Devices segment will grow at the high end of our stated growth range of 6% to 8% in 2025. I would like to reiterate the strategy we are executing across both of our business units. We are leveraging our unique technologies, creating custom products through our customer application intimacy and then scaling into production with our world-class operational capabilities for end markets with strong secular growth trends. It is proving to be a winning combination, leading to year-to-date revenue growth of 5% and EPS growth of 15% on a year-over-year basis. John will go through our Q4 guidance shortly, but as we stated on previous calls, we are expecting to finish the year strong with revenue and EPS growth accelerating in the second half of 2025. As we look to next year, with new design wins ramping and a very healthy backlog of existing orders, we expect to see organic growth rates at the high end of our stated range of 4% to 6% for the total company. This is an increase from historical levels, supported by strong secular growth trends in our end markets and new initiatives such as the expansion of our specialty film production coming online. Cash generation from operations continued to be robust in the third quarter, allowing Knowles to purchase $20 million in shares and reduce outstanding bank borrowings by $15 million. We have a very strong balance sheet that will continue to support our growth as we pursue synergistic acquisitions and buy back shares while continuing to keep our debt at very manageable levels. In summary, as I said last quarter, I'm excited by the momentum and strength the business demonstrated and the growth opportunities that we have in front of us, both in the near and longer term. Our design wins continue to be strong across our product portfolio. This is driving increased demand for our products, which gives me confidence that we have entered a period of accelerated organic growth from historical levels. We are laser-focused on what we do best, designing custom engineered products and delivering them at scale for customers and markets that value our solution, positioning us well for growth in 2025 and beyond. Now let me turn the call over to John to detail our quarterly results and provide guidance for Q4.
John Anderson: Thanks, Jeff. We reported third quarter revenues of $153 million, up 7% from the year ago period and at the high end of our guidance range. EPS was $0.33 in the quarter, up $0.06 or 22% from the year ago period and also at the high end of our guidance range. Cash generated by operating activities was $29 million at the high end of our guidance range, driven by lower-than-expected net working capital. In the Medtech & Specialty Audio segment, Q3 revenue was $65 million, up 2% compared with the year ago period, driven by increased demand in the specialty audio market. Q3 gross margins were 53%, flat versus the year ago period. As expected, segment gross margins in the third quarter improved more than 200 basis points sequentially, and we expect gross margins to be above 50% for the full year 2025. The Precision Devices segment delivered third quarter revenues of $88 million, up 12% from the year ago period. Segment gross margins were 41.5%, up 150 basis points from the third quarter of 2024 as higher end market demand and production volumes in our ceramic capacitors and RF microwave product lines resulted in increased factory capacity utilization. These improvements were partially offset by higher production costs and lower-than-expected yields associated with the ramp-up of the specialty film product line. It's worth noting that specialty film output trends within the quarter were positive. And as we exited Q3, we are well positioned for both sequential growth and gross margin improvement in the fourth quarter. On a total company basis, R&D expense in the quarter was $9 million, flat with Q3 2024 levels. SG&A expenses were $26 million, up $2 million from prior year levels, driven primarily by annual merit increases and higher incentive compensation costs. Interest expense was $2 million in the quarter and down $2 million from the year ago period as we continue to reduce our debt levels. Now I'll turn to our cash flow and balance sheet. In the third quarter, we generated $29 million in cash from operating activities. Capital spending was $8 million in the quarter. We continue to expect to generate operating cash flow of 16% to 20% of revenues for full year 2025. During the third quarter, we purchased 940,000 shares at a total cost of $20 million. We exited the quarter with cash of $93 million and $176 million of debt, which includes borrowings under our revolving credit facility and an interest-free seller note issued in connection with the Cornell acquisition. The remaining balance of the seller note matures next month, and we expect to fund this payment with a combination of cash on hand and revolver borrowings. Lastly, our net leverage ratio based on trailing 12 months adjusted EBITDA was 0.6x, and we have liquidity of more than $350 million as measured by cash plus unused capacity under our revolver. Before turning to the fourth quarter guidance, I want to give a brief update on the tariff situation as it relates to Knowles. While the situation remains fluid, we continue to believe our exposure to tariffs is less than 5% of revenue and 3% of cost of goods sold. We've had success in passing these additional costs on to our customers, and our expectation is to continue to do so without loss of business. Moving to our guidance. For the fourth quarter of 2025, revenues are expected to be between $151 million and $161 million, up 9% at the midpoint year-over-year. R&D expenses are expected to be between $8 million and $10 million. Selling and administrative expenses are expected to be within the range of $26 million to $28 million. We're projecting adjusted EBIT (sic) [ EBITDA ] margin for the quarter to be within the range of 22% to 24%. Interest expense in Q4 is estimated at $2 million and includes noncash imputed interest. We expect an effective tax rate of 7% to 11%. As we move forward, I expect the tax rate to increase in 2026 to the range of 15% to 19%. We're projecting EPS to be within a range of $0.33 to $0.37 per share. This assumes weighted average shares outstanding during the quarter of 87.2 million on a fully diluted basis. We're projecting cash generated by operating activities to be within the range of $30 million to $40 million. Capital spending is expected to be $12 million, and we expect full year capital spending to be approximately 5% of revenues as we've increased investments associated with capacity expansion related to our specialty film line. In conclusion, our year-over-year revenue and earnings growth were strong in the third quarter. And with the backlog and increased order activity, we expect to continue to deliver both sequential and year-over-year revenue and earnings growth in the fourth quarter of 2025. I'll now turn the call back over to the operator for the questions-and-answers portion of our call. Operator?
Operator: [Operator Instructions] Your first question comes from the line of Christopher Rolland with Susquehanna.
Christopher Rolland: Congrats. So I guess my first is going to be on specialty film. If you guys could just remind us on current capacity, your plans or even update us on your plans for capacity additions and how from a demand standpoint, you guys see revenue now into next year and whether you have high confidence on high-volume additional customer opportunities for this product in particular?
Jeffrey Niew: Yes. Chris, let me separate that into 2 pieces of specialty film. Let me answer the first, which is a little bit easier, which is back to that energy order we received in Q1. So first, I think we're on track that starting really in the second quarter, but really fully ramping up at the end of the second quarter, that energy order will start to be delivered in the back half in full -- but starting in Q2, around $25 million or so. That's what we expect in that business. I think in the other portion of the specialty film business, right now, we have a backlog that's not counting again the energy order that's in excess of $25 million, close to $30 million backlog that to deliver on. And we see more orders coming. So we feel pretty comfortable as we look into next year that the specialty film line, probably is going to be in the $25 million to $30 million range this year. If you add the $25 million, it should be at least $55 million or $60 million next year. And we're expanding the capacity to fulfill those orders.
Christopher Rolland: Excellent. And then perhaps we can talk about -- I think in the press release, you talked about design activity. I was wondering what you were alluding to and what underpins your high end of your target growth range? And just as we kind of think about Medtech or Precision Devices or any subsegment, what you would expect to be above and?
Jeffrey Niew: Yes. So if you divide it that way, I think if I were to sit there right now, I would probably look at the Medtech & Specialty Audio business in '26 being in that 2% to 4% range for growth next year. I would sit there and say the Precision Device, which is now a business which is now obviously larger than the med tech is at the high end to maybe even slightly above the high end of the 6% to 8% that we provide for organic growth at the Investor Day. The underpinning of this, I wish I could point to and say beyond that energy order, which we highlight that it's like one customer or one application, we are just having a tremendous amount of success. And I would sit there and say, I really commend the teams within Knowles, Chris, in terms of execution. It's taking our unique technologies and then customizing them for specific applications across med, industrial, defense, and then delivering them at scale with a world-class operation. And we're just having a tremendous amount of design win activity across the board. And that's why I think we feel comfortable right now when you look at the growth rates, coupled with that energy order we'll start to deliver that all our markets are up. I was even looking -- I think like even this year, we're kind of having quite a bit of success this year in EV. That's in '25, which obviously a lot of people aren't. And that's all about very specialized design wins in EV where we're having obviously very unique and differentiated products.
Operator: Your next question comes from the line of Bob Labick with CJS Securities.
Bob Labick: Congratulations. Also my congratulations as well on the strong performance.
Jeffrey Niew: Thanks, Bob.
Bob Labick: Yes. So I just want to follow up on the kind of the specialty film. There's obviously lots of excitement going on in the capacitors. You talked about the energy order coming on next year and then the other specialty, I guess, I think you said medical and defense. And any way you can elaborate on some of the products that these are going into or the ability for follow-on orders in the non-big energy one and how that could progress over time?
Jeffrey Niew: Yes. I think I talked about a couple of them that we've talked about before, but they're growing pretty rapidly and doing well for us. But it all -- the specialty film really focuses around pulse power applications. It's applications where the capacitor is not being used in a traditional sense as a building block of an electronic circuit. It's actually being used to store a significant amount of energy that needs to be released in a very rapid pace in order to power something. And we've talked about before about defibs. We talked about in the railgun application. We talked about more recently, radiotherapy is a great application for us. So there's a lot of applications that are emerging that are coming. I wouldn't -- beyond the energy ore, which is very unique in terms of the size, we have a lot of unique applications that are coming to market, and we continue to be called up on a weekly and daily basis. We seem to be in a very unique position, Bob, relative to the technology and the capability to deliver the solutions. And of course, it doesn't help to be U.S.-based in manufacturing in the U.S. as well.
Bob Labick: Got it. Yes. It sounds like these are new applications solving problems may be better than before in kind of existing markets, but taking share from older technologies. Is that post...
Jeffrey Niew: I wouldn't say taking share. I would say this is like new applications that didn't exist before that are requiring like a significant amount of power to be delivered in a very rapid period of time in order to power the device. I think one of the ones that we alluded to, which is coming is downhole. And that's another application that, quite frankly, we're taking prototype orders for right now, but we could see down the road with all the work that we've been doing that these downhole applications where our capacitors would be in high heat environments, have to be taken downhole in order to be involved in fracking and cleaning of drill bits. There's a whole bunch of different applications here that we've been working on for like a year or 2. And we're in the prototype phase right now, but everything indicates like that one is another application that would require pulse power.
Bob Labick: Got it. Very exciting. And shifting gears, obviously, the balance sheet is in good shape. You're buying back stock. You've had M&A in the past. Can you just give us an update on the M&A environment? I don't know if it's like with tariffs, it slowed down. Has it like reopened up a little bit? Or what's the opportunity...
Jeffrey Niew: Yes, we're definitely focused on this. I just think where we are today as a company is we have a great organic plan. And I think we want to make sure that if we do an acquisition, it becomes -- it's very obvious to our analysts, our shareholders why we did it. And so we're laser-focused on -- still on acquisitions. But I think we're in a position now where we're trying to be picky and making sure we're going to do something that makes sense, and that's really 1 plus 1 equals 3. I'm still hopeful we'll get something done over the next year or 2, but we want to make sure it's the right thing. I don't know, John, if you have any comments.
John Anderson: I think that the environment has improved from a quarter ago. There's more assets out there. Interest rates expectations are coming down. So again, we've got a good pipeline, but it's difficult to say when we're going to be able to complete. And as Jeff said, we're being disciplined.
Operator: Your next question comes from the line of Anthony Stoss with Craig-Hallum.
Anthony Stoss: John, probably the first question for you. I'm curious if you can share the book-to-bill now and where it was maybe a quarter ago. And then palladium prices are up about 30% in the last 30 days. I know this impacted you guys early in 2022. I'm curious at what price of palladium do you think would have a negative effect on your gross margins?
Jeffrey Niew: So I'm going to let John take the palladium question first, and then I want to just cover the book-to-bill.
John Anderson: Yes, Tony, you're right. The palladium costs have increased. I will say we're pretty good in terms of -- we've got prebuys. We have a pretty good position at least through the first half of next year, where we're kind of locked in at prices below today's market price. If they continue to elevate, I know looking back 12, 18 months ago, they got over $2,000 a troy ounce -- as you mentioned, they're $1,500. Again, we're monitoring this closely. If there are opportunities to prebuy even beyond the second half of next quarter -- sorry, of 2026, we'll do that. But I don't see this impacting our gross margins in a negative way at this point.
Jeffrey Niew: I mean we've had a kind of a -- when we went through this once before, obviously, we were able to raise prices. But I think one of the things that we've done is we've kind of fixed the price, as John said, through the middle of next year. So we're not subject to like big swings in volatility over a short period of time. And I would also add that if we get to the back half of next year and prices remain the same, I think we'll probably be having discussions with our customers about it. I mean, I don't think it's a big deal at this point. On the book-to-bill, our book-to-bill within PD was 1 for the quarter. And I just -- it's worth a little color here. It was the second largest order quarter in the last 4 quarters. I think what you're starting to see is, quite frankly, that one is the revenue is up significantly. And so it's getting a little bit more difficult to produce those crazy book-to-bills that we had in the first half, but we're starting to deliver on those. But I will say this, it was -- we had a very strong, again, bookings quarter. When I said it's the second largest bookings quarter we've had in the last 12 months. I would also just say that the backlog is quite high as well. And that's why we put so many orders in the last 3 quarters, again, not even counting the energy order. And so I think we feel very comfortable about how bookings are. I did look just yesterday at where the bookings were month-to-date, and it appears we're having another strong bookings month in October. So I think that the trends continue. It was -- as I said in the prepared remarks, it was particularly strong, the bookings in defense and then in -- with our distribution partners. We had well above 100 distribution partners in the defense market.
Anthony Stoss: If I could sneak in one more for John. You said it's good to hear that the thin film you're making improvements in Q4 on the gross margin side. How much or how many more quarters do you think that will last? And what kind of impact is it at now?
John Anderson: Tony, I mean, in terms of -- you're talking about the specialty film line specifically?
Anthony Stoss: Yes.
John Anderson: I mean margins, all I'll say in Q3 were -- we had a great quarter overall, but that was an area for opportunity improvement. Margins were well below the total company and the PD average. As I said, it's really a question of we're adding costs, both fixed overhead. We're incurring higher than normal scrap costs. We're seeing within the quarter -- within Q3, we saw some positive trends. So August was better than July. September was much better than August. So coming out of that, we're kind of trajectory is right.
Jeffrey Niew: I think the question -- just -- I think you're not going to really see the full benefit of what we think the gross margin we can get to until probably late Q2 when the energy order starts to fully ramp. Because just remember, what's going on is we're hiring people, equipment is starting to run. We're putting overhead in place to deliver this energy order, but we're not actually delivering a lot of units yet or producing a lot of units. So it is impacting gross margin, and that's really not going to go away fully until mid- to late Q2.
John Anderson: But I do, again, see sequential improvement from Q3 to Q4 in gross margins due to improved output and capacity utilization.
Operator: Your next question comes from the line of Tristan Gerra with Baird.
Tristan Gerra: Could you give us a sense of the gross margin leverage on incremental utilization rates and where utilization rates are currently? And also as a follow-up to the prior question, what is the gross margin impact from the ramp in specialty film in Q3? And assuming that impact, as you said, disappears by mid next year, is it kind of a linear decline? Or is it more of a decline that happens mostly when you start ramping in Q2 of next year?
John Anderson: Yes. A lot of questions to unpack there, Tristan. I would say the first thing with respect to the gross margin utilization and capacity, you really have to look at it on a product line-by-product line basis. We have some product lines that are running close to full capacity within the ceramic capacitor business and others that we've got some capacity. So it's really difficult to kind of go and give you a blanket on what our capacity utilization is.
Jeffrey Niew: But generally speaking, like our drop-through on incremental revenue.
John Anderson: I would say that question is easier to answer on average, again, it depends on product line. But overall, you can think of 35% to 40% dropping to the bottom line on every dollar of sales. Our variable -- you can see our gross margin is, call it, 45%. Our variable contribution margin is higher than that, obviously. And we don't have a lot of incremental operating expenses. So if I was modeling this yes, every dollar of sales, kind of think of it as that 35% to 40%. Obviously, if it's MSA, it's going to be a little higher than that and certain areas within PD can be a little lower. But overall, kind of use that 35% to 40%.
Jeffrey Niew: Maybe, John, if you agree, but I think what you're going to see is some linear improvement in Q4, Q1 and into Q2. And when you're going to see probably a bigger jump up in Q3 once we're fully running the production. So it's going to kind of be linear and then a jump up.
John Anderson: Yes. The only thing I would say is sometimes Q1 has a little seasonality where in some...
Jeffrey Niew: I'm talking about specialty film specifically. You will see linear sequential improvement Q3, Q4, Q4 to Q1, Q1 to Q2 and then a big jump up as we get into Q3.
John Anderson: But in some of our other business, like MSA, typically, Q4 is a really good -- Q3, Q4 are good quarters, and then we see a little dip down in Q1.
Jeffrey Niew: I think the overall theme, Tristan, is this. I still think that a number of our businesses, specifically the specialty film product category still has upside gross margin that should be -- help the overall company continue to start -- continue to raise EBITDA margins over time.
John Anderson: Yes. I would -- just last point on this. If we're going to finish somewhere 44% to 45% in 2025, there is opportunity to go higher in 2026, really driven by the -- in the back half of '26, driven by that ramp-up in the specialty film line.
Tristan Gerra: Okay. That's very useful. And then for my second one, your exposure to distribution and industrial within PD, is that still around 40%? And you've mentioned that inventory levels are back to normal. Is that the case for industrial and distribution as well? And you've mentioned a very nice ramp in industrial. So should we assume that even in that segment, inventory levels have normalized? And if not, when do you think that happens?
Jeffrey Niew: I would say, generally speaking, a big portion of what we categorize in our distribution business is industrial, and that business is up. Now here's what I'd just say is it's a little opaque yet to answer the question on industrial growth year-over-year, because you're taking into account inventory burn down. But I can definitely say that if you look at the growth in distribution, we're going to have some pretty nice growth in our distribution business. And when we see their POS reports, they're seeing nice growth as well. And a big portion of that's industrial. Now again, it's hard to actually say how much industrial is growing. But I can tell you is the inventory is for sure out. We're definitely seeing ordering trends that are saying that orders are lining up with demand as opposed to if we're burning out inventory, we don't really need that much to order that much from you.
Operator: There are no further questions at this time. Ladies and gentlemen, this concludes today's call. Thank you all for joining, and you may now disconnect.